Operator: Good afternoon and welcome to the Amtech Systems Third Quarter 2014 Financial Results Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Brad Anderson, Chief Financial Officer. Please go ahead.
Bradley C. Anderson: Thank you. Good afternoon, and thank you for joining us for Amtech Systems' third quarter fiscal 2014 results conference call. On the call today are J.S. Whang, Amtech's Executive Chairman; Fokko Pentinga, our President and Chief Executive Officer; and myself, Brad Anderson, Chief Financial Officer. After the close of trading today, Amtech released its financial results for the third quarter of fiscal 2014 ending June 30, 2014. That earnings release will be posted on the company's website at amtechsystems.com. During today's call, management will make forward-looking statements. All such forward-looking statements are based on information available to us as of this date, and we assume no obligation to update any such forward-looking statements. These statements are not guarantees of future performance, and actual results could differ materially from current expectations. Among the important factors, which could cause actual results to differ materially from those in the forward-looking statements, are changes in the technologies used by our customers and competitors; change in volatility and the demand for our products; the effect of changing worldwide political and economic conditions, including government-funded solar initiatives and trade sanctions; the effect of overall market conditions, including equity and credit markets and market acceptance risks. Other risk factors are detailed in our Securities and Exchange Commission filings, including our Form 10-K and Forms 10-Q. J.S. Whang, our Executive Chairman, will start our discussion today. Fokko Pentinga, our President and Chief Executive Officer, will update you on progress made in our third quarter. And I will then discuss third quarter fiscal 2014 financial results. So I will now turn the call over to J.S. Whang, our Executive Chairman, to begin the discussion.
Jong S. Whang: Thank you, Brad. Good afternoon. We appreciate you joining us today to discuss our Q3 result and the progress being made in our marketplace. Fokko and Brad will update you on the current selling environment, new order we received, shipments that we made to key customers and the important progress made by our technology research and development team and partnerships. Let me step back in time for a moment. During the downturn, we aligned our organization with a market that was affected by many negative forces. We operated through a time well. The pullback in demand for our product was very severe. However, we put in place the plans to successfully preserve cash and implement new business practices. That, together, insured our vigilance and positioned us to move forward successfully. Our primary objective was to ensure we will be prepared for the eventual solar capacity ramp up and capital spending on next-generation technologies. With our never-ending attention on future opportunities, our entire team is diligently focused on our customers' new and longer-term objectives and bringing our new offerings to the expanding solar market. So as planned, we are now seeing the benefit of our actions. We have brought new technologies to the marketplace, such as our ion implant technology system. We have doubled the size of the market we serve, as the result of introducing our PECVD technology to the marketplace. We are being recognized by solar cell manufacturers, not only in China, but also in Korea, Taiwan and U.S. and other markets around the world. Solar is a global opportunity today and for the long term. We are happy to say that we are very well positioned for next solar capacity expansion cycle and demand for next-generation technologies. Now Fokko will update you with the more details. Fokko?
Fokko Pentinga: Thank you, J.S. In our first and second quarter earnings calls, we indicated that we were expecting that the second half of 2014 would show visible progress in the marketplace and it would likely translate to positive developments for Amtech Systems, and it has. We are excited to report on several progress points today. First, our year-to-date bookings of $50 million, including $29 million in solar orders, is a significant step in the right direction. Those orders bring our June 30 backlog to $39.4 million, with solar backlog at $30.6 million. These backlog levels represented 37% and a 59% increase over the total and the solar backlog at the end of the third quarter of 2013. As J.S. mentioned, we have made progress on many fronts. We have engaged with new customers in new geographies, and we are not only introducing, but we are also delivering our new technology solutions to industry-leading customers. In the third quarter, we shipped our new high-density, high-throughput fusion systems to a customer in Taiwan, and we shipped PECVD systems to Korea. And our N-type cell line, which we were installing in San Antonio when we talked with you in May, is now ramping up and we are working towards achieving key milestones in the very near future. We're also very pleased to announce today that we have received our first production order for our IonSolar implant system. We currently plan to ship that system within the next 6 months. Another progress point, with respect to our ion implant technology, is that the system we shipped to ECN, the Energy Research Centre of The Netherlands, is now installed and the joint development efforts for high-efficiency cell technology are underway. Based on conversations with our current and prospective customers, we believe that what we are seeing in this improving 2014 environment strongly signals the long-awaited shift towards a more active spending environment. Customers are definitely looking at capacity relative to their 2015 and longer-term objectives. We are fully engaged, and our technology and manufacturing teams are ready to address their specific need. I will now turn the call over to Brad to discuss our fiscal third quarter results.
Bradley C. Anderson: Thanks, Fokko. Our total customer orders in the third quarter of fiscal 2014 were $17.9 million, including $12.3 million of solar. This compares to $21.5 million, which had $13.6 million of solar in it in the preceding quarter and $20.7 million in the third quarter of fiscal 2013. Our shipments for the quarter were $14.6 million, including $7.3 million of solar shipments, resulting in an overall book-to-bill ratio of 1.2:1, with solar at 1.7:1. Net revenue for the third quarter of fiscal 2014 was $9.2 million, compared to $12.7 million in the preceding quarter and $10.4 million in the third quarter of fiscal 2013. The decrease is due primarily to the high level of revenue deferred in the latest quarter of approximately $5.4 million, resulting from the shipment of new products, including our PECVD and ion implant equipment. At June 30, 2014, our total order backlog was $39.4 million, an increase of 27%, compared to total backlog of $31 million at March 31, 2014. Our backlog at June 30, 2014, includes $30.6 million in solar orders and deferred revenue, a 49% increase, compared to solar backlog of $20.5 million at March 31, 2014. As a reminder, backlog includes deferred revenue and customer orders that are expected to ship within the next 12 months. Gross margins in the third quarter of fiscal 2014 was 18%, compared to 23% in the previous quarter and compared to negative margins in the third quarter fiscal 2013. The lower margins sequentially resulted primarily from higher profit deferrals in the most recent quarter. Negative margins in the third quarter of fiscal 2013 a year ago resulted primarily from inventory write downs. Our SG&A expense in the third quarter of fiscal 2014 was $4.1 million compared to $5.4 million in the third quarter of fiscal 2013. The decrease is primarily due to lower stock-based compensation expense. SG&A includes $200,000 of stock compensation expense in the third quarter of fiscal 2014, compared to $1.6 million of stock-based compensation expense in the third quarter fiscal 2013. Research and development expense was $1.4 million in the third quarter of fiscal 2014 compared to $1.9 million in the third quarter of fiscal 2013. The lower R&D expense is primarily due to the recognition of a significant amount of government grant funding during the third quarter of fiscal 2014. Partially offsetting the higher grant recognition was increased spending, resulting from higher activity and the development of equipment for the solar industry, as well as higher activity and development of additional markets for the ion implant technology. Depreciation and amortization in the third quarter of fiscal 2014 was $591,000 compared to $632,000 in the third quarter a year ago. Income tax expense in the third quarter of fiscal 2014 and 2013 was $1.3 million and $2.6 million, respectively. A provision was required due to the effect of book tax differences and valuation allowances on net operating losses in certain tax jurisdictions in which we operate. Net loss for the third quarter of fiscal 2014 was $5.3 million or $0.53 per share, compared to a net loss for the third quarter of fiscal 2013 of $12.1 million or $1.27 per share. Total revenue by geographic region for the fiscal third quarter was the North America region at 19%, Asia Pacific region at 46% and Europe at 35%. Our financial position remains strong at June 30, with essentially no debt and total unrestricted cash and cash equivalents of $31.6 million compared to $36.6 million at March 31, 2014. The decrease in cash is due primarily to investments in new products and operating losses during the quarter. At June 30, 2014, we had working capital of approximately $36 million. As you look at our business for the 9 months ended June 30, 2014, we had customer orders of $50 million, up 43%, including $29 million of solar, up 37% compared to the same period a year ago. Shipments were $52 million, with solar at $29 million, resulting in the book-to-bill ratio of 1 point -- 1:1 overall and for solar. Net revenue was $37 million, and that's net of approximately $15 million of deferred revenue, but is still up 32% from the same period a year ago. This concludes the prepared remarks of our conference call. Operator, would you please open the call for questions?
Operator: [Operator Instructions] And our first question comes from Sven Eenmaa of Stifel.
Sven Eenmaa - Stifel, Nicolaus & Company, Incorporated, Research Division: First, I wanted to ask now that the trade case is behind, at least in the preliminary stage, how is that impacting the visibility your clients have in terms of capital spending?
Bradley C. Anderson: I think the -- I'll take it first, Sven, it's starting to help clarify. I think what's -- they're still readjusting to the different geographies in which they operate. And -- but I think overall, what we look at is the increase in demand globally and how that is in relation to the capacity globally. And I think that's why we continue to talk about 2015, we see an overall improvement, because of that narrowing of the gap between demand and capacity.
Sven Eenmaa - Stifel, Nicolaus & Company, Incorporated, Research Division: But in terms of your internal planning, how do you think about your kind of order expectation timing? Do you expect them in the fourth quarter this year? Do you expect orders to become more in the first quarter next year? How should we think about that?
Bradley C. Anderson: In general, looking at it from a quarter-to-quarter is always a difficult proposition, because while there are plans when they push the button to execute on those plans, it's always it could be a moving target. But generally, what we've said in our prepared remarks, and I think we've pretty consistent over the last little while, and 2014 was kind of a precursor to some opportunities here and there to more of a general upturn in 2015. The timing of the orders is always difficult, but our expectations are to -- well, first of all, we fully participated in the 2014 opportunity and really expect the greater improvement to come in 2015. Timing exactly when the orders come in is difficult.
Sven Eenmaa - Stifel, Nicolaus & Company, Incorporated, Research Division: Got it, and then congratulations on the ion implant order. Is there any -- are there any metrics around the size of order, the capacity contemplated, you could provide?
Bradley C. Anderson: As it relates to the ion implant, the amount of megawatt that an ion implant, yes, is closer -- close to say, call it, 40, 45 megawatt. It really depends on the type of cell technology they're using that line for. So if you get to a higher-efficiency N-type, then you go a little bit higher. If you're using it for a p-model, then it's going to be a little bit lower.
Sven Eenmaa - Stifel, Nicolaus & Company, Incorporated, Research Division: Got it. And a couple kind of accounting or financial related questions here. First, you mentioned the gross margin in the quarter, and I now understand some of the revenues are deferred, but if you would look at the margin on the shipments in the quarter, what would that have been?
Bradley C. Anderson: When you look at that and try to peel away a little bit of the deferrals that unfortunately we're required to do for U.S. GAAP, with the low volume, so you get underutilization of factory, you're going to see lower margins, but that would be more in the, call it, lower- to mid-20s.
Sven Eenmaa - Stifel, Nicolaus & Company, Incorporated, Research Division: Got it. That's very helpful. And the last question I have is, can you recognize any revenues on the PECVD systems, which are currently on the field and in the installation process?
Bradley C. Anderson: We have not.
Operator: [Operator Instructions] And our next question is from Mark Miller of Noble Financial Market.
Mark S. Miller - Noble Financial Group, Inc., Research Division: Just was wondering in terms of what's going on with the ion implanters. Besides this order you just received from a Chinese customer, where -- could you give us kind of a feeling where else you're engaged? Are you running wafers? Are you shipping beta site tools? And any progress noted by your competitors in this area?
Fokko Pentinga: Mark, Fokko here. We're shipping more beta tools. We are now really looking for orders. Giving beta tools away is not what we generally like to do. The machine is now in the stage that is that necessarily any more. So that's why we always emphasize, it was a production order. It was not just a giveaway thing. And so where will you see it most? Our own technology is mostly geared towards N-type to take advantage when using ion implant on N-type cells. So that is where most of the technology will go. And it's what we believe to be a big [ph] demand. And yes, of course, we are running demo way for different customers. That's an ongoing activity. And as to competitors, normally I don't discuss much about them, but there are a few competitors in this business, and all we know there is one very important big competitor and they will always continue to do well. Not that I see a lot of orders out for them either, but I don't know the details of what they do get and they don't get, but that's what we consider as our real competitor. And other than that, I think our machine has been doing very well. And the fact that we're getting orders, production orders in China, but also working with ECN. This is very strong confidence and that's, of course, that's also what we see in our on-process development that [indiscernible].
Mark S. Miller - Noble Financial Group, Inc., Research Division: Throughout your history, I believe you shipped a several thousand of furnaces and I'm just wondering as these tools replace furnaces and the next-generation saw production, what type of tam [ph] are we looking at. Are we looking at roughly 1,000, 2,000 possible units for the whole industry?
Fokko Pentinga: I wouldn't -- I mean, if we look over a century, that may be the case. But I mean, these are tools that -- first of all, the idea that they replace a furnace, that is partly true. They do replace a part of it, but after an ion implant, you still need to do steps an aniel [ph] step. So the number of furnaces will not necessarily change. It's just a different way, but it has big advantages because it's single-directional. Would we expect that -- in the world, there are several thousands of diffusion furnaces within now and the future be several thousands of ion implanters. That because I don't know how long you to look at, but that's not something that we're not looking at [indiscernible] at all. It is tied to market.
Mark S. Miller - Noble Financial Group, Inc., Research Division: Well, how are you balanced in the next-generation high-efficiency production line? Is it 1:1 between furnaces now and implanters?
Fokko Pentinga: It depends a little bit on what -- if you use for, if you do both or if you take an N-type technology, if you do both the phosphorus and the boron with implanted, and it's sort of 1:1. If it's a technology where you still use boron diffusion and the implant for the phosphorus, then you still have quite a few more furnaces than you have implants.
Mark S. Miller - Noble Financial Group, Inc., Research Division: One of your primary customers has experienced some capital constraint. That's Yingli. And any visibility when that improves or how that might impact you in the future?
Fokko Pentinga: Well for us, it's always difficult to comment on the financial situation of the -- of our customer, but we see Yingli improved a lot in the last quarter. And I'm personally think that this quarter, they will see also further improvements. But then again, we have to wait to see what they come up with. But most customers do see improvements quarter-over-quarter, and that will have very positive effect. And if the customers would've been in very good financial shape, all of them, we would've already seen a big increase in capacity, but most of them have had some difficulties over the last years and that slowed them down a bit. But it is also good for everybody because now, I think, the recovery will be more controlled rather than getting a big upswing and then 0.5 year later on, going down again. So we're very confident that our customers and also our best customer will start continue to do better and have already done and in the future, we'll continue to do so. And that will have positive effects on our possibilities to more sell equipment than the -- over the couple of quarters.
Mark S. Miller - Noble Financial Group, Inc., Research Division: Are you seeing a healthy quoting activity from your major customers?
Fokko Pentinga: Yes. We see good quoting activity, but it's not something that is comparable to the boom of a couple of years ago. People are still being careful about how to spend and how to increase and not overreact. So that's good for all of us.
Bradley C. Anderson: It's healthier from where it was.
Fokko Pentinga: No, it's a lot better than that.
Bradley C. Anderson: 6 to 12 months ago.
Operator: [Operator Instructions] There are no further questions. This concludes our question-and-answer session. I'd like to turn the conference back over to Brad Anderson for any closing remarks.
Bradley C. Anderson: Thank you for your time today, and for your continued interest in Amtech. This concludes today's call.